Operator: Good day, everyone, and welcome to the Earnings Conference Call for NextEra Energy and NextEra Energy Partners. Today’s conference is being recorded. At this time for opening remarks, I would like to turn the call over to Amanda Finnis. Please go ahead ma’am.
Amanda Finnis: [Audio Gap] NextEra Energy Partners. With me this morning are Jim Robo, Chairman and Chief Executive Officer of NextEra Energy; Moray Dewhurst, Vice Chairman and Chief Financial Officer of NextEra Energy; Armando Pimentel, President and Chief Executive Officer of NextEra Energy Resources, all of whom are also officers of NextEra Energy Partners, as well as Eric Silagy, President and Chief Executive Officer of Florida Power & Light Company. Moray will provide an overview of our results and our executive team will then be available to answer your questions. We will be making forward-looking statements during this call based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward- looking statements, if any of our key assumptions are incorrect or because of other factors discussed in today’s earnings news release, in the comments made during this conference call, in the risk factors section of the accompanying presentation, or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our Web site nexteraenergy.com and.nexteraenergypartners.com. We do not undertake any duty to update any forward-looking statements. Today’s presentation also includes references to adjusted earnings and adjusted EBITDA which are non-GAAP financial measures. You should refer to the information contained in the slides accompanying today’s presentation for definitional information and reconciliations of the non-GAAP measure to the closest GAAP financial measure. With that, I will turn the call over to Moray.
Moray Dewhurst: Thank you Amanda and good morning everyone. NextEra Energy delivered strong performance in the fourth quarter capping off an outstanding year overall. Fourth quarter adjusted earnings per share grew 8.4% while full year adjusted earnings per share growth was 6.6% even including a negative impact of $0.15 per share associated with the launch of NEP. Just as important, we made excellent progress on our major capital initiatives and energy resources had one of its best years ever in terms of new project origination, signing contracts for roughly 1,400 megawatts of new renewable projects as well as partnering with EQT to begin development to the Mountain Valley Pipeline. As a result, we’re very well positioned for future growth and can reasonably expect to be able to extend our long-term track record of growing adjusted earnings in the 5% to 7% range at least through 2018. Cash flow from operations grew 7.8% leading to a slight improvement in our cash flow coverage metrics as expected and we maintained our strong credit position which remains an important competitive advantage in a capital intensive industry. In addition to all these developments, 2014 saw the very successful launch of NEP the initial assets which delivered operating and financial performance in line with expectations. A favorable development of energy resources contracted renewable portfolio coupled with other factors led us to conclude that it makes sense to accelerate the growth of the NEP portfolio in 2015 and we now expect to reach the so called high slits which implies LP unit distributions at an annualized rate of $1.13 by the end of this year. Late in December, the growth potential of energy resources and by extension NEP was further supported by the federal government’s action to extend the Wind PTC program another year which we expect will mean that we will be able to offer our customers very attractive pricing on Wind projects with delivery dates through the end of 2016. Longer-term, we continue to believe the growth potential for renewables will be strong, supported by both improving economics and the EPAs Queens power plant. All in all, it was an exceptionally strong year with excellent current financial performance balanced with equally positive developments in terms of future growth potential. We’re very pleased with the progress we have made. Now let’s turn to the results for the quarter and the full year. For the fourth quarter of 2014, FPL reported net income of $286 million or $0.65 per share up $0.08 per share year-over-year. For the full year 2014, FPL reported net income of 1.5 billion or 345 per share up $0.29 per share versus 2013. As a reminder our 2013 results included a negative impact of approximately $0.07 from transition costs associated with project momentum, our enterprise wide productivity initiative. The principle drivers of growth our continued investment in the business and increased wholesale volumes associated with two long-term contracts. FPLs capital expenditures were approximately $832 million in the quarter bringing our full year capital investments to a total of roughly $3.1 billion and driving year-over-year growth and regulatory capital employed of 5.8%. We achieved significant milestones throughout the year bringing into service the Riviera Beach Clean Energy Center ahead of schedule and slightly below budget, starting construction on our generation modernization project at Port Everglades and continuing to invest in our transmission and distribution network to help us improve our already outstanding system reliability. Our regulatory ROE for the 12 months ended December 2014 will be approximately 11.5% achieving the 2014 target that we shared with you previously. As a reminder there is no longer an embedded negative impact to transition cost associated with project momentum. Under the current rate agreement you will recall that we record reserve amortization entries to achieve the pre-determined regulatory ROE in this case the 11.5% that I previously mentioned. During the fourth quarter, we reduced our accumulative utilization of reserve amortization since 2013 from $155 million to $122 million, a reversal of $33 million leading us a balance of $278 million which can be utilized in 2015 and 2016. Relative to the expectations that we discussed on the last call, the smaller reversal reflects the unfavorable impact of mild weather in the fourth quarter on revenues. However, the $278 million remaining balance is better than we expected when the rate agreement began primarily as a result of our productivity initiatives which have been very successful. Total non-fuel base O&M costs in 2014 were more than $100 million below where we were in 2012. Looking ahead, we expect the balance of the reserve amortization coupled with our weather-normalized sales growth forecast at 1.5% to 2% per year and current CapEx and O&M expectations will allow us to support a regulatory ROE of approximately 11.5% in 2015 and in the upper half of the allowed band of 9.5% to 11.5% through the end of our current rate agreement. We’re continually working hard to find new ways to strengthen the value proposition that we deliver to our customers and I’d like to provide updates on three recent positive developments. First, in December, the Florida Public Service Commission approved Woodford project portion of our gas reserves petition and important long-term hedging opportunity against potential volatility in the market price for natural gas. We expect the PSC to decide in March on our proposed guidelines for subsequent investments in natural gas supplies. Second, 2014 was the second year of FPL’s current rate agreement and the second year for the gas and power optimization program that we proposed as part of that agreement which of course the PSC approved. I’m pleased to report that under this innovative gain sharing program FPL delivered roughly 54 million of incremental value to its customers through optimization activities and once reviewed and approved by the commission we’ll be able to record roughly 13 million of incremental pre-tax income in 2015 under the gain share and provisions. This is an obvious example of a win-win proposition. Third, we remain optimistic that there is greater potential for additional utility scale solar projects in Florida. Our recent focus has been on improving the economics of three roughly 74 megawatt solar PV projects on which we have already done significant development work and which we expect we’ll be able to enter service in 2016 and qualify for the 30% ITC. I’m pleased to report that yesterday we issued a press release confirming that we believe we can now move forward with these three projects with overall economic benefits to our customers. The total capital investment for these three projects is expected to be approximately $400 million to $420 million. Florida’s economy continues to improve in 2014 and again did better than the U.S. average on most major measures. Florida’s seasonally adjusted unemployment rate in December was 5.6% down 0.7 percentage points from a year earlier and in line with that with of the nation. However, Florida’s labor force participation rate also increased as more people were attracted to healthier employment market. Florida added 230,000 jobs over the 12 months period ending December 2014 largely within the private sector. The corresponding growth rates in jobs are 3% outpaced that of the nation by 0.9 percentage points. In fact, Florida’s rate of job creation outpaced the U.S. and the majority of individual private sectors reflecting diversified growth. Florida’s population is also growing at a healthy rate. U.S. Census Bureau reported recently the Florida’s population increased by more than 290,000 people over the 12 month period that ended July 1st of last year reaching 19.9 million and moving Florida ahead of New York as America’s third largest state. In the housing market, the Case-Shiller index of South Florida shows prices up 9.5% from prior year and building permits appears to be stabilizing at healthy levels. The strengthening economy was reflected improvements in Florida’s Consumer Sentiment Index which by the end of the year reached its highest level since February 2007. Fourth quarter sales volume was down 3.7% driven by mild weather. FPL’s average number of customers increased by approximately 68,000 or 1.5% compared to the prior year period with a roughly comparable estimated impact to change in sales of 1.4%. As a reminder, the remote connect and disconnect capability enabled by a smart meters was fully deployed by the fourth quarter 2013 consequently none of the fourth quarter 2014 customer growth is attributed to this impact. Usage per customer declined by 5% compared to the prior year with weather accounting for 5.3% of the decrease offset by a 0.3% increase in underlying usage growth. In the fourth quarter, inactive accounts were roughly 15% below the level of the prior year comparable period and new meter connections continue to show steady improvement by increasing almost 47,000 in 2014 which is over 20% higher than the 2013 additions. For the full year, customer growth in mix increased by 1.2% compared to 2013, year-over-year we have a normalized usage of a customer increased slightly by 0.1%. This metric was somewhat volatile in 2014 but our long-term expectation remains at approximately 0.5% for year net of the impact of efficiency and conservation programs through the period of the rate agreement and flat thereafter. Let me now turn to Energy Resources, which reported fourth quarter 2014 GAAP earnings of $614 million or a $39 per share. Adjusted earnings for the fourth quarter were $178 million or $0.40 per share. Energy Resources contribution to adjusted earnings per share in the fourth quarter was flat compared to last year. Strong positive contributions from the new investments as well as improvements in customer supply and trading were offset by reductions in gas infrastructure largely driven by higher depletion rates and by the impact of refueling outages at our Duane Arnold and Point Beach nuclear facilities. For the full year 2014, Energy Resources reported GAAP earnings of $985 million or 2.24 per share. Adjusted earnings were $833 million or 1.89 per share. As a reminder adjusted results include the negative impact of $0.15 per share associated with establishing and launching NEP. This in turn includes a $0.10 per share non-cash income tax charge driven by separating our Canadian projects to enable and to fit into the overall NEP structure. The growth in Energy Resources contribution to adjusted earnings per share of $0.06 for the full year was driven largely by growth in our contract in renewables portfolio which added $0.29 per share. During the year, we installed roughly 1364 megawatts of new wind and 265 megawatts at new solar making 2014 the strongest year ever for new renewable capacity coming into service. We elected CITC for roughly 265 megawatts in solar projects in 2014 compared to approximately 280 megawatts in projects in 2013. We expect to elect CITCs on roughly 365 megawatts in new solar generation in 2050. Contributions from our existing business were up $0.06 per share year-over-year. Wind resource for 2014 was slightly above our long-term expectations following a slightly lower resource in 2013. Customer supply and trading overall ended the year-up $0.04 per share, asset sales added $0.01 per share year-over-year. Offsetting these increases were the $0.06 decline in gas infrastructure mainly due to increased depreciation expense primarily related to higher depletion rates. Increased interest expense negatively affected the comparison to last year by $0.09 per share due to growth in the business. Contributions from corporate G&A and other decreased $0.04 per share year-over-year primarily driven by share dilution. As we did last year, we have included a summary in the Appendix to the presentation that compares Energy Resources realized equivalent EBITDA to the ranges we provided in the third quarter or 2013. In addition, we have updated Energy Resources projected adjusted-EBITDA and cash flow slides and included an additional year forward. The portfolio of financial information for 2015 and 2016 can be found in the Appendix to the presentation. Please note that the slides now reflect the impact of the anticipated accelerated growth at NEP. All expectations associated with NEP assume the future training yields roughly comparable to the day’s level. Energy Resources financial performance in 2014 was stronger than they appear from the simple calculation of adjusted-EPS growth in part because of the impact of the various costs and accounting charges associated with the establishment of NextEra Energy partners. Growth in the adjusted-EBITDA and cash flow both strong with adjusted-EBITDA growing by 12% and operating cash flow by 29% although the later number is affected by intercompany tax effects and working capital changes. The strong growth in Energy Resources cash flow reflects the impact of new contracted renewable projects coming into service. As I mentioned earlier Energy Resources had one of our best ever periods of origination activity for new contracted renewable in 2014. On the last quarterly call we discussed a number of strong prospects that the team was pursuing and I am pleased to report that since that time we have added roughly 500 megawatts to our backlog of wind and solar projects. All of these new projects have characteristics that we expect will make them attractive candidates to be made available to NEP over the course of time. We are now well ahead of the expectations that we share with you at on March 2013 investor conference with positive implications for earnings and cash flow growth in 2017 and beyond. Contingent upon IRF guidance, we believe that the extension of the wind PTC along with our development activities and efforts to Safe Harbor equipment should be supportive to our U.S. program through 2016. The accompanying chart shows our current estimates of megawatts that can be delivered and their respective period. Over the last two years, we’ve brought into service approximately 2,285 megawatts of new renewable. And in addition, we have signed contract for another roughly 2,115 megawatts which we expect to bring into service by the end of 2016. If our development program goes as expected, we believe energy resources and NEPs combined renewable portfolios will reach at least 14,200 megawatts by the end of 2016 and likely will be significantly higher. We will provide a more detailed update on our origination and development activities at our March investor conference. Let me now review the highlights for NEP, as you know the launch of NEP came at the end of the second quarter consequently a discussion of full year results is not meaningful and we will instead simply focus on the fourth quarter. As a reminder NEP consolidates 100% of the assets and operations of NEE operating LP in which both NextEra Energy and NEP LP unit holders hold an ownership interest. Accordingly the financial values for NEP that we discussed in these prepared remarks or in the attached slides are presented on a 100% basis. At present NextEra Energy owns approximately 80% of the economic interest and NEP LP unit holders own approximately 20%. NEPs initial portfolio delivered fourth quarter adjusted EBITDA and CAFD of 54 million and 32 million respectively. The assets operated well, wind and solar resource were normal and financial results were generally aligned with our expectations. During the quarter, NEP also made its initial distribution payment to unit holders. Earlier this month, NEP completed the acquisition of Palo Duro the first of two previously announced agreements to expand its portfolio through project acquisitions for NextEra Energy Resources. Palo Duro is an approximately 250 megawatt wind project in Texas. It ended service in December 2014 and sell 100% of its output under a 20 year PPA. NEP paid approximately $228 million in cash consideration excluding post-closing, working capital and other adjustments and assumed a differential membership liability of approximately $248 million. NEP continues to expect a first quarter 2015 closing of its agreement to acquire Shafter, a 20 megawatt contracted solar project currently under construction in California for an estimated cash consideration of 64 million. As discussed on the third quarter call, these acquisitions are being funded by cash on hand including the 150 million of primary proceeds retained from the IPO and a draw on NEPs existing revolving credit facility. We expect to issue equity in order to support longer-term financing needs at some point in 2015. Turning now to the consolidated results for NextEra Energy; for the fourth quarter of 2014, GAAP net income attributable both to NextEra Energy was 884 million or $2 per share. NextEra Energy’s 2014 fourth quarter adjusted earnings and adjusted EPS were $458 million and $1.03 respectively. For the full year 2014, GAAP net income attributable to NextEra Energy was $2.5 billion or 5.60 per share, adjusted earnings were roughly $2.3 billion or 5.30 per share. For the quarter corporate and other segment was flat relative to 2013 on an adjusted EPS basis, for the full year the corporate and other segment was down $0.02 per share on an adjusted basis from 2013. On the development front, 2014 was a successful year for our pipeline projects, the development of both Sabal Trail Transmission and Florida Southeast connection continue to progress well through their respective processes and both projects submitted the necessary filings with FERC in 2014 and are on track to receive FERC approval in 2015 in support of a mid-2017 commercial operations date as scheduled. The Mountain Valley Pipeline joint venture with EQT Corporation continues to progress through the permitting process with the FERC application targeted for the fourth quarter of 2015. The project has secured approximately 2 bcf per day, a 20-year firm capacity commitments with an expected capital opportunity for NextEra of 1.0 billion to 1.3 billion. The project is expected to be operational by year-end 2018. NextEra Energy’s operating cash flow growth outpaced EPS growth year-over-year and our overall credit metrics improved and are in line with our expectations and consistent with our ratings. In the appendix of today’s presentation we have provided actual performance for 2013 and 2014 as well as our projections for 2015. Additionally you will see the corresponding ranges for the rating agencies indicate for those metrics at our ratings. Approximately 15 billion of financing transactions were executed in 2014 by our treasury team to support the growth of our business. As usual we employed conventional debt issuances and continued to make use of project level debt and tax equity partnerships at energy resources. Consistent with our well established strategy of recycling capital, proceeds generated through the inter relationships between NextEra Energy and NEP introduced another source of capital integrated into NextEra’s ongoing financing program. In light of the progress made against our execution objectives, we continue to be comfortable with the 2015 adjusted EPS expectations we shared with you last quarter 5.40 to 5.70 per share. For 2016, we are updating our expectations to a range of 5.75 to 6.25 and we expect to be able to provide more insight into the drivers of earnings and cash flows for 2016 and beyond at our Investor Conference in March. As always our expectations are subject to the usual caveats including but not limited to normal weather and operating conditions. Turning now to NEP; our expectations taking into account all the asset acquisitions we are now contemplating are unchanged since the last call. For the full year 2015, we continue to expect the NEP portfolio to grow to generate adjusted EBITDA of $400 million to $440 million and CAFD of $100 million to $120 million, this would support the distribution level at an annualized rate of approximately $1.13, which corresponds to the upper tier of the IDR splits by the end of 2015 or possibly slightly earlier. After 2015, we continue to see 12% to 15% per year growth in LP distributions as being a reasonable range of expectations for at least the next five years. Assuming current trading levels, this implies 2016 adjusted EBITDA of 580 million to 620 million and 2016 CAFD of 170 million to 190 million. That concludes our prepared remarks and we’ll now open the line for questions.
Operator: [Operator Instructions] We’ll take our first from Dan Eggers with Credit Suisse.
Dan Eggers : Thanks for the update. I guess question number one, Jim has been pointing to the idea that your 2016 would be a disappointment if it wasn't at $6. What do you guys, when you saw the guidance increase today, can you just talk about what you saw to give you confidence to move that number higher?
Moray Dewhurst: First of all we’ve had really since the investor conference the prior range of $5.50 to $6 so that was based on the initiatives that we laid out for you at time since then we have enable to push forward and execute successfully on I would say the vast majority of those initiatives and we indicated as we went longer way that we were feeling better about where we might be within that range. Separately, Jim very clearly articulated charge to the organization the challenge to the organization being at the $6 range hence the comment about being disappointed that we didn’t get that. And then in the third quarter we simply indicated that we would try and update now once we got pass the Florida election and had a chance to roll the numbers up again. So all that is preamble to say that based on the success we’ve had since laying out those capital initiatives in March of 2013, we now think that centering the range around that $6 mark is very consistent with our normal method that’s coming up with our expectation. So always we’re telling you what it is we see today we could be literally anywhere within that band but we think that band is appropriate given all the factors that we can see today.
Dan Eggers : Okay. And I guess, Moray, just on the wind additions and the warehousing of additional equipment to qualify for the PTC, can you just walk through what you guys are doing to key that up and then how we should think about the ability to sustain beyond what is contracted additional wind growth for 2015 and 2016?
Jim Robo : I’ll ask Armando to comment on the specifics on the development side but just the general context I’d say on the number of occasions that would see extension which congress now passed, we felt comfortable that that would provide us good opportunities for projects that through the end of 2016 and also said that if they were no further extension of the PTC we might well see a drop off in new development for a while but we would expect even without PTC extension to see development pick up again later in the decade is the influence of improving economics and EPA’s Clean power plant come into play so just with that is general context Armando you want to comment on what we’re doing in specific development activities to make sure that we can get them in by the end of ‘16.
Armando Pimentel: Right. So couple of things, first, we’re on I know we gave you these numbers on a quarterly basis but we’re on what I would consider a pretty decent role with our development activities in the renewable side so over the last couple of years we’ve signed long-term power purchase agreements for wind and solar that are just above 2900 megawatts of that 2900 Morey pointed out in the slides this morning that some of those will build in 2014 but we still at 2115 I believe the number is in megawatts, for contracts that we have in hand that will go COD in 2015 and 2016. That number does not include any potential for wind projects in 2016. We believe that the IRS is going to provide some more guidance on this PTC as they did last time. We hope that will be provided before the Investor Conference in March and at that time we will share with you what our expectations on the wind side, but it clearly would be a giant disappointment if we have zero megawatts in 2016. I just don’t think that’s going to happen. On the solar front, really over the last 12 months to 18 months we have done very well in that market. I think it’s still way too early to talk about what’s going to happen with tax credits for solar beyond 2016. And as such we probably have just a couple of more orders here where we and others will be able to signed folks up for long-term agreements on the solar side, but we have got several very promising opportunities on the solar side that I hope will paying out. To give you an indication though of what we have been doing 2014 was also our highest ever year in terms of bringing renewal energy megawatts COD. In 2014 we brought 1630 megawatts of COD. So we clearly have the capabilities to do that, and I hope we would do that. I am certainly not committing to that but we will have more information for you in March. 
Dan Eggers : That's great. And just to clarify one thing, that 980 MW of wind that you have on slide 11, that would be all for 2015 delivery because you do not have clarity on the 2016 from the IRS yet, is that correct? 
Armando Pimentel: Yes. 
Operator: Now we will take our next question from Julien Dumoulin-Smith with UBS. 
Julien Dumoulin-Smith : So I wanted to follow up on the solar announcement in Florida and just explore that a little bit further. First, can you expand a little bit on the regulatory process involved? Obviously you have kind of alluded to it and tried it a little bit in the past, but what mechanisms precisely you are looking for, what kind of recovery you are looking for? And then subsequently just in terms of the timing, can you talk about the ability to scale this up, or what total size do you see ultimately in Florida? I know you delineated at least the first batch here, but is there an ability to scale this up similarly as you described gas before in the state? 
Moray Dewhurst : True. On the first part, the regulatory needs to be recovered through base rates. So we have been working hard to make sure that we can deliver customer value by which I mean make the addition positive to our total system economics in the current environment. I am not surprising that has been working very hard on getting the initial cost down because that’s where so much of the economics part. And so we have now reached that point so since these projects have positive economics for customer we believe it’s appropriate to go forward and in due course we will recover them through basic rates. On the second part of the question, there is some special characteristics of these projects that make them particularly attractive right now and we can’t quite yet see general scaling that up to much larger size, we are going to need some further improvements in the economics these are also assisted by the fact that we are going to benefit from the existing 30% ITC. So there is a question always about future projects from that perspective. So the answer to your second part of your question is, yes, we think there is huge potential longer-term, but we think what we need to get a little bit further still on the economics before we can go much beyond three projects that we are talking about here. 
Julien Dumoulin-Smith : Great. Excellent. And then coming to Hawaii, could you give us a little bit of an update on where you stand? Just as I imagine you have had conversations with folks in the state, I mean how do you feel about being able to execute that both from a timeline perspective and also just in terms of anything you might have to provide to get it all executed?
Moray Dewhurst : Sure, Jim will have a couple of words. 
Jim Robo : Julien, obviously its early days. The teams are working on the SEC filings as well as the Hawaii PUC filing for regulatory approval, and things are moving a pace. And as I said its early days and I remain optimistic that we are going to be able to finalize things within a 12 months period here by the end of the year. 
Julien Dumoulin-Smith : Great. And just a last detail, any updates on the rate base effort in Florida? Obviously you've got the first gas approval here, but just any issues or any changes in the program as you look towards getting the rest done?
Moray Dewhurst : Really no change. Obviously pleased that they approved this specific project they will take up a question of the guidelines in March.
Operator: And we’ll go next to Paul Ridzon from KeyBanc.
Paul Ridzon: If we look at the midpoint of your 2016 guidance, are you just kind of using the forward gas curves as they currently sit? 
Moray Dewhurst: Yes, all our expectations are always based on current forward curves both for commodities and for interest rates. And every time as part of our preparation for these quarterly calls we go through an update to that outlook we update all the major driving assumptions in which the commodity curves are won. So yes they recognize those curves bouncing around literally every day.
Paul Ridzon: Right. On play, you have a $0.50 range, I guess?
Moray Dewhurst: We’ll that’s one of the big factors, that causes the need for the range certainly.
Paul Ridzon: And Moray, over the past couple of years, you have kind of expanded your reach across the energy platform be it pipeline, gas reserves. Are there anything else on the back burner we need to look at as far as potential opportunities? 
Moray Dewhurst: I mean certainly we’re always looking to see whether there are logical extensions that flow from the current scale set and current opportunity set. But I think we have articulated to you and to others pretty clearly the ones that we’re active in at the moment, so obviously core is the power that we have extensive knowledge of the gas business build that over time, very capable at doing all kinds of large scale development in construction and infrastructure type projects, transmission development and definitely a focus. The other one that I probably should remind everybody is that we have a small effort going in storage in a variety of different aspects from sort of early stage, following early stage R&D, early stage production companies to actual projects have completed or have in process. So that’s kind of the suite of opportunities at the moment.
Paul Ridzon: You’re talking electricity storage?
Moray Dewhurst: Correct.
Operator: Now we’ll go to next Steven Fleishman with Wolfe Research.
Steven Fleishman: A couple of quick questions. First, if you look at this year, I think you came in around $5.30, and if you added back the $0.15 of one timers of the NEP restructuring, you are almost kind of in your range for 2015 just doing that. Just to kind of round out 2015, is there anything that particularly hits this year -- kind of limits the uptick?
Moray Dewhurst: No I would say it’s the other way around, so let me just talk a little bit about ‘14. Why were we able to exceed our original expectations even while absorbing $0.15 of incremental and unanticipated at the time charges? There are a number of reasons, most of them frankly having to do with the energy resources portfolio, most parts of which ended up doing a little better than we originally expected. First we had just plain weather solar resource was better than long-term averages that was probably about $0.08 worth of goodness from that. Interest rates stayed lower than we - because of the implied responsible earlier we locked them to curve but that curve didn’t manifest itself over the years was probably corporate wide probably about $0.04 of goodness from there. And then the other big one was really performance in the northeast, so the NEPOOL portfolio was on the order of $0.10 or so better than we expected even more than compensating for the shortfall that we had in the customer supply business in the first quarter in the northeast and that business in turn made up that big short fall over the rest of the course of the year. So you add up all those different things and there was probably somewhere around the order of $0.24 to $0.30 of unanticipated goodness now to be fair there was also some unanticipated badness on smaller factors. But that was kind of the difference, so again when we do the expectations we just go back to sort of base line normal expectations where the commodity curves are right now. So it’s much more and that’s how ’15, son it’s much more matter of fact that we got $0.20 in the sense of unanticipated goodness in ’14 that we can’t automatically expect will carry over into ’15. We hope it will but we can’t count on it.
Steven Fleishman: Okay. And just on 2016 guidance in terms of the renewable backlog, should we assume what you lay out here that is already contracted gets you maybe to the midpoint, and if you are able to do more, that's how you get toward the higher end? 
Moray Dewhurst: No absolutely not, we’ve covered this actually on a number of occasions. The stuff that we’re doing now in new development is not going to have a significant impact until we reach ‘17 ‘18, in fact for the last year pretty the development effort is generating projects but that’s really going to help us in ‘17 ‘18 and beyond. So there maybe some slight timing impacts on ‘16 that’s not really going to be a big driver of where we are in the ‘16 range.
Steven Fleishman: Okay, great. And then finally -- 
Unidentified Company Representative : Just remember that historically when we build wind we get virtually all of the COD very, very late in the year. So when you’re building we don’t have anything new for ‘16 wind but we certainly hope to build some and I’d love to be able to build them in January, February, March but traditionally we put those in very, very late in the year, so there is just very little EBITDA that goes into the year. And on the solar front we’re getting to the point really at this point where it’s going to be very difficult to sign contracts over the next couple of months and expect that you’ll be have a COD at anything other than very, very late in 2016. So that’s why we just go back and look at history when we go in COD it’s very late in the year and really affects the future year’s earnings.
Steven Fleishman: Great. One last question. Just I think in the beginning of your remarks, you kind of reiterated the 5% to 7% I guess through 2018. But it does seem like your 2016 kind of got you effectively high-end or above that range. So just can you just maybe context the 2016 guidance with the 5% to 7%? 
Moray Dewhurst : ‘16, the percent of that range 6% is squarely within the 5% to 7% back from 2012. 
Operator:
. :
Michael Lapides: Congrats on a good 2014. I wanted to ask a P&L question. The commentary about staying above the midpoint or towards the higher end of the range in 2016, meeting the authorized ROE band, can you talk a little bit about what headwinds, if any, exist at FPL? You're highlighting really strong expected but weather normalized demand growth, and you have a lot of the regulatory amorts kind of in your back pocket to use over the next few years. Just trying to think about things that could offset those.
Moray Dewhurst : There is nothing in particular but recognize when we started out with the rate agreement, the beginning of the rate agreement looking forward in general you’re going to need to utilize little more surplus depreciation in the out years to maintain a given level of profitability just given the fundamental growth in the regulatory capital deployed. So there is nothing special we just again doing the same thing we’re taking a best view of the range of possibilities for 2016 revenue including where the variability against that expectations for 2016 cost, CapEx et cetera and the amount of surplus depreciation remaining. And all of those give us comfort that in ‘16 we can be at least above the mid-point of the formal range that somewhere between 10.5 and 11.5. 
Michael Lapides: Got it. And I know we will see this in the K and probably at the analyst day, but any insight you can give us on 2015 and 2016 CapEx expectations at just FP&L?
Moray Dewhurst : Again I differ on that one because I don’t the specific data in front of me. The K will be out pretty soon.
Jim Robo : Michael this is Jim the other thing I would say is that we’re going to layout in good detail our capital plans at FPL in the March Investor Conference on both sides of the business.
Operator: And we’ll take our next question from Greg Gordon with Evercore ISI.
Greg Gordon : Armando, I just want to make sure I heard correctly that practically speaking when I look at slide 11 and I look at the backlog for wind in the United States, you said that that doesn't have anything in 2016, so that 980 MW is really just all delivery in 2015. Is that right? 
Armando Pimentel: Yes, that’s correct and let me just clarify the point, that is correct right, and all of those 980 megawatts that you see on there we have committed to with the customer to bring those in before the end of 2015, if for some reason the customer comes back to us and said okay, now that we feel comfortable about 2015 and just slip into ‘16 we’ll obviously do that but what I really meant to say is we have signed no contracts right now none of the numbers that you see on here are based on a contract that we signed for 2016 COD.
Greg Gordon : That looks really good because your backlog went up from like 1860 MW to 2254 MW since the third quarter, and you still have good option on 2016 if you get the extension.
Armando Pimentel: Yes.
Greg Gordon : Is based on looking at those slides in the last quarter to today?
Moray Dewhurst : Yes, absolutely it has been a great period.
Greg Gordon : Shifting to another question, it has become a smaller and smaller piece of variability in your business, but the Texas market has obviously been under some duress in terms of gas prices coming down but also heat rates contracting in the wake of new supply additions and concern over the economy in Texas with oil prices having come down as much as they have. I know your guidance on 2015 EBITDA and cash flow has moderated a bit. Can you talk about market conditions there and maybe what you have done to hedge out that risk? 
Moray Dewhurst : Amanda may want to comment as well, but I would say that in general on the commodity front oil, gas and power nothing much great has happened recently and that definitely includes Texas. In the short-term because we do hedge expensively is a relatively modest impact, but I would certainly tell that my personal view of the Texas market is less bullish than it was. Amanda?
Amanda Finnis : I will add just a couple of more to that. When I look at our Texas assets it’s divided into three sets of assets. You have got Lumber Yard in Forney that 2800 megawatts combined cycle. You have got roughly 1800 megawatts of what we hedged wind and you have us much smaller 400 megawatts or 500 megawatts or so of contracted wind in Texas. The hedged wind really the first time that any significant hedges on the hedge wind start rolling off as 2017 and that’s not very significant portion, you have got hedges after 2020 to start rolling off. So I don’t worry in the near-term that much about the due to hedged portfolio, hedged wind portfolio or contracted wind portfolio. As Moray mentioned on the combined cycle gas assets, we have leveraged those assets last year and part of what we did was we went out and hedged a good part of the margin for about 2.5 years and we have been legging into additional hedges when we can. That’s a market that does not have a lot of liquidity really past 2016 and even in 2016 it’s not like you can just hit the bid that you see on the screen. So it’s not something I am concerned about at all in the near-term but longer-term economics as Moray said on the market. I am certainly not as bullish as I was couple of years ago. 
Operator: And we will go next to Hugh Wynne with Sanford Bernstein. 
Hugh Wynne: Moray, you had emphasized in your presentation today the improvement in cash flow from operations and EBITDA, which was stronger even than the growth in earnings. Was wondering if you could drill down into that a little bit and just give us a feel for the primary drivers there and what were the differences with the growth in earnings? 
Moray Dewhurst : Sure, the Energy Resources level, I think the main observation to make is simply that the strong contributions to cash flow coming from these contracted renewable projects gets a little bit particularly in the early years by some other factors. So, I described two things, first of all simply in 2014 we had a number of non-cash items that affect earnings of which the largest and simply the impact in some of the NEP merge cost which obviously we would not picks back to continue. So that’s one source of difference between the picture that you will get if you look at earnings growth and the picture you get if you look at cash growth. But there is the more fundamental one is that by the nature of these contracted renewable projects you have virtually all of your investment upfront. And so in a sense the faster you grow that business the greater the disparity between your earnings profile, the impact that has on your earnings profile and your underlying cash flow profile. So the growth in the cash flow is coming from the project is kind of must in the early years by the fact that they not has accretive in the early years as they will be in subsequent years. So there is just a, it’s almost like an arithmetical, mathematical thing goes on. So we simply wanted to highlight the fact that the cash flow growth of Energy Resources is very strong and just a flag for people that you probably want to look most that its contribution to earnings and its contribution to cash flow. 
Hugh Wynne: Okay. And if I could, just a quick follow-up on the solar initiative at FPL. If I remember correctly, those were three 75 MW projects, and you are estimating a cost of $400 million to $420 million? Is that correct? 
Moray Dewhurst: Correct. 
Hugh Wynne: And then you are saying that the economics would need to improve for the growth in utility scale and solar to continue? Can you amplify on that at all what you think would be sort of an economic cost per watt for utility scale solar? 
Jim Robo : Well, recognize that those projects are advantaged by couple of things. First of all eligibility for the 30% ITC and secondly I will call it good fighting condition. So development work has been done, access to transmission et cetera. So if you just look at the generic, supposing I wanted to add 200 plus megawatts of solar somewhere in Florida. You got to start from a clean-slate, find a new site, get transmission access all of those things, look at the full cost of the project. That would not be economic today at the 10% ITC level, so answer to the direct question of how much more do cost have to come down, I would have to look more closely at the economics I’m going a little bit off memory, but yes I would think somewhere in the order of 10% to 15%. And we certainly think that that’s likely to occur over the next few years, so again we’re very optimistic about doing more later in the decade.
Jim Robo : Hugh this is Jim. The only other thing I’d say is we’re very pleased within this historically low price commodity environment that we have some utility scale solar projects in Florida that are cost effective for customers. And so that 10% or 15% improvement going forward to offset the loss of the ITC and some of the special advantages that these projects have, one of the ways to do that is to have commodity prices come up a little bit, right. And we’re seeing this throughout the country now that solar is becoming increasingly cost effective -- utility scale solar is becoming increasingly cost effective compared to avoided cost at utilities around the country and I think that’s a very-very positive thing for our customers here in Florida and also for Armando's renewable business across the rest of the country.
Moray Dewhurst : And just as a reminder to everyone really, the challenge of making solar work here in Florida is actually quite a bit more than it might appear because of a low cost structure and hence low rate structure which is effectively what we’re competing against.
Operator: And we’ll take our final question today from Angie Storozynski with Macquarie.
Angie Storozynski: So first on the growth in your wind power installations, we have heard from other wind developers in the US who seem pretty confident that the projects that will start operations before the end of 2017 will still qualify for the PTC given the extension through the end of 2014. You seem to believe it is only until 2016. So where is the difference? Are you simply conservative in your assumptions or do you think that it is really still unclear given the lack of the IRS interpretation? 
Moray Dewhurst : Angie assuming that the IRS provides similar guidance to what they did last year on in construction. We think that, that will mean, these are my words Safe Harbor or projects that would get COD before January 01 of 2017. There is always been the question out there that because the IRS or Congress that the IRS is just interpreting, did not provide a what I will call a drop dead bed on COD that if you have continuous construction activities through the period of COD that you could qualify for the production tax credit beyond again what I call my Safe Harbor day. So I some folks are saying look, we can build at some point in 2017 because we believe it will have, we will meet continuing guidance and the IRS has provided some examples of what those activities are, that is I think that’s certainly doable, that’s certainly a more aggressive interpretation than we would take. Now we may have some projects just because of their circumstances that we would feel comfortable building in 2017 to build -- I am sorry to meet that IRS guidance. But I can tell you we will try to minimize those projects because we think they carry more of a risk than those projects to get done by the end of 2016. 
Angie Storozynski: Okay. And then separately on NEP, so I just wanted to clarify one thing. So if you are talking about 12% to 15% growth in distributions per share, you are assuming that you will be able to issue equity for each of the forward years assuming that the yield at the time of the issuance will be close to the 2.8%, 2.9% that we are currently observing using the projections of the distributed cash per share? Is that correct? 
Jim Robo : Yes, they doesn’t necessarily have to be exactly that, but that’s why we included the comment about the assuming roughly current trading levels. Yes. 